Operator: Ladies and gentlemen, thank you for standing by and welcome to the Entergy Corporation, Third Quarter 2021 Earnings Release and Teleconference. At this time, all participants are in listen-only mode. After the speakers presentation, there will be a question-and-answer session. During the session will need to press star one on your telephone. If you require any further assistance, please press star 0. I would now like to turn the call over to your host, Bill April or Vice President Investor Relations you may begin.
Bill Abler: Good morning. And thank you for joining us. We will begin today with comments from Entergy's Chairman and CEO, William Renault, and then Drew Marsh, our CFO, will review results. In an effort to accommodate everyone who has questions we request that each person ask not more than two questions. In today's call, management will make certain forward-looking statements. Actual results could differ materially from those forward-looking statements due to a number of factors which are set forth in our earnings release, our slide presentation, and our SCC filings.  Entergy does not assume any obligation to update these forward-looking statements. Management will also discuss non-GAAP financial information, reconciliations to the applicable GAAP measures are included in today's press release and slide presentation, both of which can be found on the Investor Relations section of our website. And now I will turn the call over to Leo (ph).
Leo Denault: Thank you, Bill. And good morning, everyone. Today, we're reporting quarterly results that keep us firmly on track to meet our financial commitments. Third quarter adjusted earnings were $2.45 per share. With good visibility into the rest of the year, we are narrowing our 2021 guidance range to 590 through 610 per share and expect to achieve 2022 and 2023 results in line with our outlooks. Further, we are extending our outlooks to include 2024 and see our steady predictable growth of 5% to 7% percent continuing through this period. Additionally, we achieved the milestone of raising our dividend by 6% and aligning with our earnings growth. This happened on the schedule we previously communicated and represents another commitment met. We have developed a more resilient business and despite $65 million of non-fuel revenue losses in the third quarter due to Hurricane Ida, we are maintaining our financial commitments. Our resiliency provide stability that is valuable to all of our stakeholders, particularly customers and owners. The quarter was heavily impacted by Hurricane Eta, which made landfall as a strong category for hurricane bringing powerful destructive wins across New Orleans, Baton Rouge, and beyond. Our coastal communities were particularly hard hit by both strong winds and storm surge. Ida disrupted the lives and businesses of many of our customers and communities and Entergy was there to help when they needed us. We gathered a restoration force of 27,000 our largest ever. Representing Entergy employees, contractors, and mutual assistance crews, from 41 states across the country. I would like to take a moment to personally thank our employees and the crews who answered the call, to come help restore power to our impacted customers. Further gratitude goes to our employees who worked restoration despite their own homes being damaged by Ida. They epitomize what it means to put our customers first, I never cease to be amazed by the dedication and effectiveness of the many restoration workers who step away from their lives for weeks at a time, help our customers and communities get their lives and livelihoods back up and running again. Despite IDAS wins creating significant damage and destruction across our power grid with close to a million peak outages, our team restored customers at a rapid pace. In just over a week, we had roughly half of all customers restored. Metro areas like New Orleans and Baton Rouge saw restoration essentially completed by day 10. Within 3 weeks, more than 98% of all affected customers were restored. And it's easy to lose sight of the fact that this restoration was successfully accomplished while dealing with the effects of the pandemic. Entergy also helped our customers and communities throughout the recovery process by developing -- deploying 165 commercial scale generators to power critical community infrastructure like medical facilities, gas stations, grocery stores, municipal water systems in community cooling centers in advance, and power being restored. In addition to restoration work, Entergy's employees contributed countless hours to their communities and Entergy shareholders committed $1.2 to $5 million to help affected communities rebuild and recover. While power has been restored to customers who can safely take it, our job is not finished. We are committed to minimizing the effects of IDA on our customers bills. We will work with our regulators to seek securitization of Ida storm costs, which is a proven and low cost means of recovery. Further, we are coordinating with key officials and stakeholders, including Louisiana Governor Edwards, the City Council of New Orleans, Louisiana Public Service Commission, Louisiana congressional delegation and the Biden administration seek federal support that could offset the cost of our customers for Ida in the 2020 storms. There's widespread alignment amongst state and local leaders on the compelling case that louisiana has to obtain federal support. We are fully aligned with this perspective. To be clear, any federal funding that Entergy utilities obtain will reduce the customer obligation, dollar for dollar. We're also committed to mitigating the impacts of future storms. Entergy has made significant transmission and distribution investments. Nearly $10 billion over the last 5 years, which made our system more resilient. We've seen those new investments performed well under the most challenging conditions. Wind damage to our transmission structures, for example, has occurred most almost exclusively to older structures built to prior standards. It has become clear that major weather events of all types are occurring more frequently. And with greater intensity. Hurricane Laura made landfall as the strongest storms hit the Louisiana Coast since 1856. Then exactly 12 months later, Hurricane Ida hit with almost equal force. Our resilient standards and asset programs have never been static. And we've continued to evolve them. And as I mentioned, our investments are working as designed. However, the uptick in severity and frequency of storms is compelling us to take a fresh look at how we can make our system more resilient, including the pace at which we can achieve it. Even prior to Ida. We're actively deploying multiple options along our resiliency scale, particularly for our service area of south of I10 and I12, which has the greatest exposure to Hurricane strength winds and flooding. Evaluating these resiliency options needs to be done under future climate scenarios. And we're taking into account important considerations, such as customer affordability and sufficiency of materials and skilled labor. This customer-driven investment will be significant and we will work collaboratively with our regulators and other stakeholders to determine the optimal path forward. Coming back to the quarter, I would like to highlight that despite dealing with a major storm, the business continued to run well without missing a beat. We've made great progress in several open proceedings. first, EBITDA Arkansas filed a unanimous settlement for its formula rate plan, and the Arkansas Commission has agreed to cancel the hearing and take up the settlement based on the filed testimony, which is positive. New rates in arkansas will be implemented in January. In New Orleans. We recently implemented rates at the level that reflected all adjustments proposed by the counsels advisors. So there are no further proceedings there. We also are pleased to note that Entergy, Arkansas reached a settlement with key customers of it's green promise tariff filing. If approved, this tariff will enable us to offer green solutions to meet the growing sustainability demands of our customers. And we're making progress on other open proceedings. And Entergy Louisiana, its FRP rates went into effect. Entergy Arkansas received approval for the West Memphis solar project. Entergy Texas reached an unopposed settlement on its 2020 storm costs filing. And Entergy Texas also filed for approval of the Orange County advanced power station. And the Louisiana 2020 storm recovery and securitization process remains on track. We continue to make progress on de -carbonizing our fleet. We've announced 5 gigawatts of solar and our supply plan through 2030 with a goal of doing more. And an update to our supply plan in renewables growth will be provided next week at EEI. In addition to helping meet decarbonization goals, the cost of renewable resources relative to conventional resources continues to trend favorably. And renewable resources provide an important edge against rising and volatile natural gas prices. We'll provide more details around our latest resource plans at EEI. Last quarter I discussed ways in which Entergy can help our industrial customers meet their sustainability goals. While many of expressed long-term goals like net 0 by 2050, even more have developed shorter-term interim goals that will require action by the end of the decade. Clean electrification is one of several important tools that are industrial customers have as means to achieve their objectives. Clean electrification provides a great opportunity for load growth. And we will require significant capital investment in renewable generation, transmission, and distribution. The load growth that comes with electrification will help pay for incremental customer - centric investments. We'll have more to discuss regarding the opportunity we have to help our customers meet their sustainability objectives next week at EEI. While it is important to discuss these longer-term growth opportunities, I want to make sure we don't lose sight of the very solid based investment plan that we have in front of us. Over the next three years, we have a $12 billion capital plan that is designed to deliver reliability, resilience, and improved customer experience, and environmental and cost efficiency benefits to our customers. When paired with our well-defined regulatory constructs, a plan will deliver 5% to 7% adjusted EPS growth for our owners over the next 3 years. That's a very solid base plan. And beyond this strong foundation, these other opportunities and renewable generation, clean electrification, and resilience acceleration will serve to extend our runway of growth throughout the rest of the decade. We look forward to continuing the conversation with you at the EEI Financial Conference. Now, Drew will review the quarterly results.
Andrew Marsh: Thank you, Leo. Good morning, everyone. Today we're reporting solid results even with the challenges from Hurricane Ida. Summarized on slide five, our adjusted earnings per share was $2.45, slightly higher than a year ago. We continue to execute our strategy and we are firmly on track to meet our commitments. In fact, with three quarters of the year behind us, we are narrowing our guidance range to $5.90 to $6.10. We're also affirming our outlooks and extending the outlook period through 2024. and we recently raised our dividend to align with our adjusted EPS growth rates. Turning to slide 6, our investments to improve customer outcomes continue to drive growth. That includes rate changes to recover those investments, as well as associated new operating expenses. Industrial build sales were 10% stronger than a year ago. We saw increases across most segments with largest increases in primary metals, petrochemicals, transportation, industrial gases, and Chlor Alkali. This reaffirms the strength of our industrial customer base. And in a world with supply chain constraints and higher energy prices, our industrial customers, businesses remained strong and competitive. These industrial sales were strong despite Hurricane Ida. Overall, across all classes, we estimate that third quarter revenues were approximately $65 million lower as a result of Ida. Hurricane lowers impact on third quarter 2020 was approximately half of that. Other O&M was higher this quarter as planned. This is partly due to higher costs for distribution operations, including reliability costs, higher expenses in our power generation function, and higher health and benefit costs. Moving to EWC on Slide seven, you'll see results were slightly lower than a year ago. The key driver was the shutdown and sale of Indian Point. Operating cash flow for the quarter as shown on Slide eight, the quarter's results is about $300 million higher than last year. The increase is due largely to improve collections from customers, including collections associated with investments to benefit customers and Winter Storm URI. This was partially offset by expenditures related to higher natural gas prices. Slide nine summarizes our credit and liquidity. We expect to maintain our current credit ratings and we continue to expect to achieve targeted rating agency credit metrics as storm restoration spending is securitized and we retire storm-related debt. We'll take a minute to discuss our balance sheet, beginning with a quick update on Hurricane Ida on Slide 10. Over the past several weeks, we've refined our cost estimates and we've shaved $100 million off the upper end of the range. The total cost is now expected to be $2.1 to $2.5 billion. We've also updated our estimate of the non-fuel revenue loss, to $75 to $80 million the lower half of our previous range. While our net liquidity, including storm reserves remained strong at $4 billion, we are also working to ensure timely storm cost recovery. That starts with the successful restoration effort and proceed through two avenues. First, Entergy, Louisiana amended its 2020 storm filing to request an additional $1 billion to provide early liquidity for Hurricane Ida costs. And in Texas, we reached a settlement on the 2020 storm costs filing. And that is now before the PUCT. Second, we haven't improved the efficiency of our storm invoice processing to accelerate our filings and ultimately cost recovery. We plan to complete financing for the 2020 storms by early next year and Ida by the end of next year. And our work isn't over, will continue to identify ways to further reduce business risk. As Leo highlighted, we're looking forward to a conversation with our customers, retail regulators, and other stakeholders about how we best accelerate and implement a strong resilient plan. We have already hard and more than half of our critical transmission and distribution structures along the Gulf Coast to standards implemented after Katrina and Ida. Continue to move the bar higher by reevaluating current standards using the latest weather data. In addition, a comprehensive resilience plan needs to include the strategic placement of assets to allow higher-risk community to recover more quickly. For example, microgrids, distributed energy resources, and deployment of generators Leo highlighted to certain critical customers. The aftermath of storms could be very helpful in supporting communities as they recover. Going to more depth on this in our conversations of EEI. In addition to physical resilience, our regulators know the importance of a healthy credit at the operating companies to support customers. And they have put in place time-tested cost recovery mechanisms such as securitization, as storm reserves to support that need. We are fortunate that and looking to recover the 2020 and 2021 storm costs, we're starting with some of the lowest rates in the country. We have significant electrification growth potential that could help pay for incremental customer centric investments and future storm costs. All of these will support oupr credit has a regulators and key stakeholders aligned with us around a strong resilience acceleration plan. In addition, we continue to execute on the exit of EWC and were less than a year from completing our plan. The resulting improvements were recognized by S&P last fall through our improved business risk profile and by Moody's just this past quarter through changes to our rating thresholds. Those changes remain in place and our ratings reflect future storm risk. As a result, we were able to reduce our 2021 to 2024 equity need. Combined with our ATM transactions, our future equity need is more than 50% lower than the $2.5 billion communicated in Analyst Day last year. Moving to slide 11, we have a clear line of sight on the remainder of the year. And for the third year in a row, we are narrowing our adjusted EPS guidance. In this case for 2021 to $5.90 to $6.10. We're also affirming our longer-term outlooks of 5% to 7% adjusted EPS growth and extending to 2024. Our confidence in our solid base plan continues to grow. that key expression, that confidence is the dividend. For the last several years we've discussed our goal to align our dividend growth with our adjusted EPS growth. Our Board of Directors recently declared a $0.06 increase in our quarterly common dividend, dividend. Which is now $1.01 per share. That's a 6% increase as planned. We expect to continue this growth trend going forward, obviously subject to board approval. That's good news for our owners who provide the capital needed to meet our customers' evolving needs. Today, we're executing on key deliverables and we have a solid base plan to meet or exceed our strategic and financial objectives. In less than a week, we owe Rod and I will be imported to meet with many of you in person for the first time in almost two years. We'll provide our typical updates on considerations for next year's earnings expectations and will provide our preliminary 3-year capital plan, including a positive update on our expectation for renewables. We will also talk about the significant long-term customer - centric investments beyond our current outlooks from renewables, clean electrification, and acceleration of our system resilience. We're excited about these opportunities ahead and look forward to talking to you about all of it at EEI. And now the Entergy team is available to answer questions.
Operator: Ladies and gentlemen, this question or a comment at this time, please press ( operators instructions )on your touchtone telephone. If your question has been answered, you wish leave with yourself from the queue, please press the pound key and we also ask that you limit yourself to two questions. Our next question -- I'm sorry, our first question comes from Shar Pourreza with Guggenheim.
Shar Pourreza: Hey! Good morning guys. How are you doing?
Everyone: Good morning Shar.
Shar Pourreza: Just a quick question here. It's starting maybe high level -- Leo, if it's okay, would -- kind of regulatory complaints from New Orleans. Do you have a sense for how the council wants to proceed at this point? Obviously they're looking for input into everything from operational response to ultimate ownership of the assets. Do you envision a path where you don't own the assets and the more or on the contrary, or is there an negotiated outcome where the city authorizes incremental spending like more transmission interconnection funded by E&O customers, to address their concern?
Leo Denault: Thanks, Shar. I would say, first of all, obviously, what we've been doing recently with the Council is, we've got through the formula rate plan. got those rates in effect. Both council as well as the LPSC and others as I had mentioned, were all aligned on approaching the federal government for offsets to customer costs through potentially CDBG funds and then even in the future in terms of storm hardening as it relates to infrastructure. That's really been where we are in terms of what's been going on recently, it's if -- all focus has been really on how do we get the next steps done in what's logical progression to what we want to do. And that is to support the credit below vnO As it relates to those other items they are still out there and we plan to co-operate with the Council as they go forward. In most of those instances, we are still wanting to hear from them in terms of what their objectives are as it relates to whether it's the ownership structure or what have you. So those are processes that they began and to the extent that they have objectives will work collaboratively with them to meet those needs. And we think that however it works out, it will work out fine for us and for them.
Shar Pourreza: Just lastly, for me and then I know you sort of touched on that a little bit around your prepared comments and it's been obviously immediate question with Investors is around the storms and maybe the expenses that were incurred. Could we just maybe get an update on some of the other mitigating factors for customer Bill head rooms. And we obviously talked about volume metric growth and the macro backdrop, but there is obviously, and also there's work you're doing with the LPS in New Orleans to get federal support. But how are you -- I guess, thinking about other charges rolling off and potentially having the Bill headroom to continue kind of investing in capex, especially as we're seeing your 24 numbers in line with the 6% midpoint growth in 24. So, could we assume this run rate remain healthy despite some of the near-term concerns around build pressure and escalating storm issues?
Andrew Marsh: [Indiscernible] this is Drew. Could you tackle that first and then I'll let Rod and Leo pitch in. I'll mention a couple of things. First of all, the securitization is what we're moving forward with in Texas and Louisiana for the recent storms. But there's also a bunch of securitization is also still rolling off. And that includes costs associated with the ICC (ph) and Hex's (ph). I think that comes rolled off next year. Same -- similar and Louisiana goosed off and, Ike rolling off and even Isaac costs are going to start to roll off maybe in 2024. So those are relatively near-term that can take some of the pressure off of the securitization costs. Also on natural gas prices. There's been a lot of discussion about natural gas prices. You obviously, a lot of people are experiencing higher natural gas prices at highlight some of the investments we've made in high efficiency CCGTs that diversification in our fleet for nuclear, it also highlights the stronger business case for solar, but the forward curve for natural gas is somewhat, as you know, backwardated and the prices get pretty low. In fact, if you just go out a couple of years, our internal forecasts are higher than what the nymex curve would say by the time you get out to something like 2024. So that's -- we don't necessarily view that as a long-term problem. Certainly it's a challenge for our customers right now. Starting with Winter Storm Yuri in the price bikes then, but we've already recovered all of those costs and we're moving forward. And then finally, for some of the growth capital, that's out there, we highlight the 3 areas associated with significant potential investments. Starting with resilience and accelerating our resilience program. That's really kind of in lieu of future securitization to the extent that we can put more resilience in place. And then what we were already planning that would offset these future securitization costs. So that's a different portion of the bill, so to speak, than we would normally see. And then of course, with renewables, fuel costs, the ONM associated with that. And if you look at our capital plan and we'll talk about this at EEI. And there's been quite a bit of rotation in our capital plan and the generation states from future CCGTs to renewables. And so that's taking up bill space that we're already planning to use. And then finally, the clean electrification as Lee. Leo mentioned in his remarks, that includes incremental sales. And that should provide space for that incremental investment. So we believe that all of that should -- there are spaces for all of these to happen, end even accelerate as we go forward in the next few years.
Shar Pourreza: Got it. I think that was helpful. Thank you for that. I appreciate it, guys. So I'll leave it at that.
Leo Denault: Thanks. Shar
Operator: Question comes from Jeremy Tonet with JP markets.
Jeremy Tonet: Hi, this is actually Brandon Travis on for Jeremy. Thanks for having me. First question, I'll follow-up with the second one. Can you just comment on the build back better framework and the implications that may have on Entergy in its current form? And then just particularly as it relates to nuclear hydrogen renewables ahead of your plan refresh at EEI.
Leo Denault: Sure, sure. There's a lot in there. They certainly as we look for support for things like hydrogen and support for things like existing nuclear. We view all of that. In addition to continued support for renewables, we view all of that is -- as positive towards our ability to keep a low cost profile of the future benefits associated with our capital plan. We're really, really, I guess -- I guess I'll start by saying I'm cautiously optimistic that there will be an infrastructure, infrastructure bills that will be passed. It's every day, there's new news one way or the other in terms of how that's going. You're here from. But as you know we're pretty well-positioned in the hydrogen space. We have significant fleet of existing nuclear plants. We're deploying a lot of new renewables. So all of the -- that focus on tax credits, particularly production tax credits is really -- we view that as highly supportive of what we're already planning on. Looking forward with. And when you anticipate having the capability, at least as we're interpreting things today. And I know there's a lot of devil in the details to come to be able to utilize as much of that as we can for the benefit of our customers. But again, as you know, we're very excited about the hydrogen space. As we -- as I mentioned in my remarks, we made the filing associated with getting the Orange County advanced power station, which will be hydrogen capable, approved in Texas with all the hydrogen infrastructure that's around us. That will be very, very important for not only us, but for the industry as we look to utilize long-duration storage, critical factor, factor in anyone's ability to get to net 0 by 2050. And I'd also say that's well supported by the fact that the industrial gas customers in our service territory are all exploring green, blue, and pink hydrogen as well. And so I think -- specifically we will have to see exactly where everything ends up if it gets done. But we see it as a nearly a way for us to accelerate what we're already trying to do.
Jeremy Tonet: That's helpful. Thank you. And then we are curious on what drove the delay on the Sunflower solar project. If you could say that it was maybe supply chain-related, or if there's anything else specific that you can point to there. Thanks.
Andrew Marsh: Yeah. It wasn't really supply chain-related, is just some onsite challenges that our partner ran into. But we expect it to be constructed early next year. And then we'll proceed on with it.
Jeremy Tonet: Got it. Thanks [Indiscernible] Appreciate it.
Leo Denault: Thank you.
Operator: Next question comes from Julien Dumoulin-Smith with Bank of America..
Julien Dumoulin-Smith: Good morning team. Thanks for the time. So just first off, I'll leave some of the bigger details for EEI, but just following up here on the opportunities around renewables and the reconciliation ability. To the extent in which direct pay happens here, just how meaningful could this be? Especially given the prospective acceleration that you all are talking about coming with ya here?
Andrew Marsh: You're talking about refundable PTC?
Rod West : Yeah. The refundability and how that improves your credit metrics that hopefully.
Andrew Marsh: Yeah. That would certainly help and also potentially change some of the investment profile that we have. Because right now we're assuming tax equity partners for all of our own transaction to facilitate the investment tax credit today. And to the extent that there are refundable PTCs that are available and it's more economic for our customers then -- than I think that we would be moving more towards 100% ownership. And so something that looks like 70, 75% ownership of each facility.
Julien Dumoulin-Smith: Got it right. So it's both capital opportunity and credit metric enhancing or you're saying it's not decisively credit head thing because of the higher capital and you have an updated the equity component yet either.
Andrew Marsh: Yes. It probably helped a little bit, but it's I don't know if it's going to -- it's more neutral. I would think for us right now.
Julien Dumoulin-Smith: Got it. Okay. That's good color. Thank you. And then separately, a little bit further afield here. Any progress on transmission here in Siri? I know that's been out there for a bit. Obviously, we've got some others in the sector resolving or the -- settling their issues here. Any thoughts?
Rod West : This is Rod. Good morning. On the every front, short answer is no. The litigation matters that have been pending for some time as we shared before, [Indiscernible] and have any specified timeline. We are hopeful that between the end of this year, beginning of next -- of 2022, we'll begin to see some resolution, I think starting first with the ROE cap structure matter, but the short answer is no material changes because it's all in FERC's domain at this point.
Julien Dumoulin-Smith: All right, excellent wildwood to EEI to fall further, guys, customer OCC.
Andrew Marsh: Thank you.
Operator: Our next question comes from Durgesh Chopra with Evercore ISI.
Durgesh Chopra: I will cede it back to someone else. My questions have been already asked and answered. Thank you.
Leo Denault: Thank you.
Operator: Our next question comes from Steve Fleishman with Wolfe Research.
Steve Fleishman: Good morning.
Leo Denault: Morning, Steve.
Steve Fleishman: By the way, Rod, my team is putting in a good word for [Indiscernible] forest. comments [Indiscernible]
Steve Fleishman: We've got 2 graduates. So just first on the support from the federal government. And could you just talk a little bit more about the path to kind of -- is there certain bills? Is this just going to be an executive? Or just -- can you just talk a little bit more about how we'll learn about this?
Leo Denault: Sure. So -- I'll start and let Rod jump in because Rod has actually been down this path before have post Katrina as it relates to the CDBG funds we're acquired for New Orleans. As you know, governor Edwards has made an appeal to the government for funds to support recovery for a variety of reasons, as it reported, as it relates to 2020 storms, as well as Hurricane Ida. And in those requests of the administration, he's put in play -- he's put in about $1.2, $1.3 billion for utility restoration offsets for our customers. So the process has been for us to, to work with our congressional delegations, the LPSC, the state council, and the governor is trying in convince effectively the federal government to appropriate dollars to go. They would go through HUD to the state. In the form of community development block grants. And then we're also positioning for HUD to vital opportunity for a waiver so that the governor can actually allocate those dollars to investor-owned utilities in addition to what muni's and co-ops and housing and other things that obviously are very, very important. We're working through that process right now. A lot of us have spent time with our delegations. We've spend time at the White House. We're spending time with agency, secretaries. So all of that is in place to try and work toward offsetting costs associated with not only Hurricane Ida, but this would also go back to 2020 storms, which was also part of the Governor's request. And Rod, If you have anything to add to --
Rod West : Yeah. And I guess the only thing that remains uncertain is the timing. Just like I made reference to FERC and some of the series things before. There's no specific timetable for the administration congress are hood to act on the Governor's request. It's now in their hands. I think the most significant development from our vantage point is that we have clear alignment amongst the delegation and express support from the White House. And our governor for the utility customers that's a big deal. As we think back to our experiences during Katrina, it took a while to get that alignment. That the objective of offsetting on dollar-for-dollar basis, the regulatory compact impact of storms on customer bills. There's no lack of alignment around the desire to achieve that, so that part we've been able to close the gap
Andrew Marsh: on quicker than in prior storm disaster events. Now comes the ultimate decision-making process of allocating those funds to the states so that the governor could industry, though. Timelines uncertain, Steve.
Steve Fleishman: Okay. And then the same alignment you talked about focusing on better resiliency. I mean, I think you've talked about how your newer polls have held up well to these two storms but there's just a huge amount of [Indiscernible] placement that could be needed to probably do that. As we're thinking about this, is this something that would likely end up being done through kind of a rate base type mechanism or something different than that?
Rod West : If we were to accelerate the capital program, the short answer is yes. That if we are -- obviously we are remindful of affordability in this conversation. But if we were accelerating a resiliency buildout You would expect that we would seek some type of alignment from the regulators with some type of recovery rider that might operate outside -- might have to operate outside of an existing FRP, or some adjustment to the FRP to attack this specific. Rick assets kind of renewal and resiliency plans. So it play out on a jurisdiction by jurisdiction basis, as you know. But yeah, I think the answer to your question is yes. It would play as a -- as a rate base play. But on -- but on accelerated basis outside of the normal -- normal ratemaking.
Steve Fleishman: Okay. And then -- that's helpful. And then just on the -- as you mentioned, you lowered the equity financing need by more than half when you did the update a month or 2 ago. Just any better sense on timing and are you still looking at options other than just straight equity issuance to facilitate that?
Andrew Marsh: Yeah, Steve, this is Drew so we haven't updated anything except what we've said before. That's through 2024 and we've also said that we could accomplish all of this through the ATM program. That doesn't mean that we aren't looking at blocks or preferreds. Those are still out there. But we would look to do those opportunistically depending on market conditions. And we've been executing successfully with the ATM over the last several months. We will continue to do that unless, like I said, an opportunistic going come along and we can execute with the block. but otherwise we'll just continue to complete with our -- with our ATM and we should get it done fairly quickly, would be my guess.
Steve Fleishman: Okay, great. Thank you very much.
Leo Denault: Thanks, Steve.
Operator: Our last question comes from Jonathan Arnold, with Vertical Research.
Jonathan Arnold : Good morning, guys.
Leo Denault: Good morning, Jonathan.
Jonathan Arnold : Just a couple -- From your comment Leo, of the beginning, there's knows for the outstanding issue with the New Orleans City Council, I was good to hear. I recall at one point they were -- prevented you from implementing the formula rate is decision effectively last week, just really move you beyond that, is that, or what were you saying?
Rod West : Yes. Rod. Yes. The decision to implement the FRP basically obviates the conversation around any push back on the normal operation of the Formula Rate Plan as we had settled with the Council. So that is net positive in the continuing discussions with the Council.
Jonathan Arnold : Great. Thank you, Rob. Just more broadly, that started to be I feel some noise around the cost benefit of Entergy's membership of mitre in some of your jurisdictions. And I'm just curious whether you have any perspective as to whether we might see any changes, and what kind of -- what venue sort of four. [Indiscernible]
Leo Denault: Jonathan, obviously, our participation in MISO today has been very valuable to our customers we've saved about $1.75 billion normally over the period of times since 2014 when we joined. And the 2013. So certainly there has been a benefit to my -- so where we see our regulators taking issue. And we're actually -- we're supportive of them. It's just making sure that we get the allocation of cost of major transmission projects done correctly. And making sure that as we would like to see that the people get benefit to major transmission upgrades are the ones who actually bear the cost of major transmission upgrades, as to people who don't get any benefit fair on that costs. So we're aligned with our regulators in that, in that concept and the theory. We're certainly not in a position where we're looking to exit MISO at any point in time. We entered MISO because of the benefits, we've obviously seen those benefits. But as the world evolves, and as [Indiscernible] capital plans evolve, and the transition to renewables evolve, and differently, North versus South, we just need to make sure that we continue to evolve the process cost allocation in a thoughtful way, that's all.
Jonathan Arnold : Great. Thank you there.
Leo Denault: Thank you.
Operator: I'll now turn the call back over to Bill for closing remarks.
Bill Abler: Thank you, Kevin. And thanks to everyone for participating this morning. Our quarterly report on Form 10-Q is due to the SEC on November 5th and provides more details and disclosures about our financial statements. events that occur prior to the date of our 10-Q filing that provide additional evidence of conditions that existed at the date of the balance sheet would be reflected in our financial statements in accordance with generally accepted accounting principles. Also as a reminder, we maintain a webpage as part of Entergy's Investor Relations website called, Regulatory And Other Information, which provides key updates on regulatory proceedings and important milestones on our strategic execution. While some of this information may be considered material information, you should not rely exclusively on this page for all relevant Company information. And this concludes our call. Thank you very much.
Operator: Ladies and gentlemen, that conclude today's presentation. You may now disconnect and have a wonderful day.